Pascal Soriot: Welcome to our First half-year of results presentation, conference call and webcast. We are here in London and we are live with a number of people present in the room, but we also have more people joining us by phone and by webcast. As always the presentation is available on astrazeneca.com and our website for you to download and we know that there are competing events today, so it’s probably reflected also by the attendance in this room. So we thank you very much to all of those who are able to join us today. So if we move to Slide 2, this is our usual – I’m sorry, usual Safe Harbor statement. Moving on to Slide 3, so we plan to spend around 30 minutes on the presentation and then that will leave us plenty of time for Q&A. For those on the phone, please remember that if you want to get in the queue and ask a question, please press star one. There’s also an option to ask questions online as part of the webcast. We’d like to provide everyone with an opportunity to ask questions. So our usual ask of you, if we may, is that you ask one question at the time and no three sub questions for your questions. Thank you very much in advance for trying to stick to this very discipline. Today I’m joined as always by Dave Fredrickson who is our EVP Head of the Oncology business unit; Mark Mallon, EVP of Global Product and Portfolio Strategy, Medical Affairs and Corporate Affairs; Marc Dunoyer, our CFO; and Sean Bohen, our Chief Medical Officer and the EVP of Global Medicines Development. So if we start to turn to Slide 4, this is the agenda and we’ll cover all the aspects of our half-year announcement today. So moving to Slide 5, I wanted to start with this slide because I really – the key message I wanted to live with you today is that the strategy we’ve been pursuing and implementing for the last four years or five years is starting to bear fruits and it’s been really a long journey as all of you know and the journey is not finished. We stayed off facing substantial head winds coming from patent expiries and there is still a lot of hard work ahead of us. But the new products are starting to have an impact on our top line. And the important point here is you can see that those new products that we define as oncology, new CVRM, and new CVRM is essentially diabetes and Brilinta to which we will add Lokelma and Tudorza also in the future and essentially exclude the old CV products in particular Crestor and respiratory or respiratory is the totality of the respiratory portfolio. These collectively, these products go by 19% in Q2 and 14% for the first half. So you can see here a nice acceleration in the second quarter and the very nice goals for the first half of 14% and there’s more to come of course because those products – for many of them are still in launch phase and you see the other and the other is pretty simple. It’s essentially Crestor. Having this big impact, the others are declining 32% in the quarter and 25% for the first half. And as I said, it’s mainly Crestor in Japan and Europe. The dynamics in the European and Japanese marketplace have changed as it relates to generics and when you lose patent protection now in those regions, you really decline very, very rapidly. There’s still of course an impact of [indiscernible] next year, but those are the older products. Now you can see the growth. The second point I want to make on this graph is the so-called new, the first line on this chart now represents 70% of our sales. So 70% of our sales grew by 19% in Q2 and the balance 30% declined by 32% and that balance, this so-called Others will start stabilizing moving forward because what’s left will be what’s marketed in China and the emerging markets. The Japanese, European, and US piece will be more or less gone by the end of this year. So if you project yourself into 2019, we should no longer have this head wind coming from the rest of the portfolio or much, much lower headwind and then the full impact of the growth of the new products should come through. So I wanted to start there. So you see that we are definitely at the pivot point. So if I move to Slide 6 looking at the details, so the product sales declined by 2% for the half year and 1% for the quarter and the 1% is the result of the two numbers that I’ve just showed you. There is an impact for the first half from the divestments that is about 2%. So in fact we would have been flat if we saw the divestments and there is a very, very strong performance of our new medicines, but also of China we’ll come back to this. Total revenue declined by 5% impacted by the lower externalization revenue compared to last year. And then if you look at the new medicines, collectively they delivered $1 billion of incremental sales versus the first half of last year. Oncology grew by 37%. Good sales of Lynparza, Tagrisso and Imfinzi, I want to talk about those later. CVRM grew by 9% with nice growth for Brilinta and Farxiga. Respiratory stabilized. We see that the decline of Symbicort, even though it’s still a very competitive market, the decline of Symbicort is lower than in past quarters and importantly Pulmicord is growing nicely and we now see the impact of Fasenra starting to come through in the total respiratory sales and we’ll come back to Fasenra because it is a very exciting product and a great launch. The emerging markets grew by 10%; China 24%, and the quarter itself grew by 26%. And you see here the impact of the great work our team in China is doing, but also the fact that we are getting reimbursement for a number of new products and it’s starting – accelerating our growth in China. Outside China, if we correct for divestments, our growth rate was 4%, 5%, impacted negatively by Russia. We think Russia will of course stabilize itself. We believe that we need to take a long-term view with Russia and walk through the economic challenges the country faces today and we think that in the long run starting next year it will grow again, but suddenly a challenging economic landscape in China as you all know today. Core EPS was $1.17 and we’re reconfirming our guidance for the year. So if we move to Slide 7 now, the pipeline continued to deliver. As you can see here we had quite a number of approval and submissions, approval in oncology, approval of Lynparza in Japan for breast cancer. The launch by the way of Lynparza in Japan in ovarian cancer is going very well. We got positive outcome of our ovarian cancer first line study with Lynparza, so great news around Lynparza. Tagrisso, we got approval for first line in the EU. Imfinzi, we got approval in Japan and we also made the primary overall survival end point. Selumetinib didn’t succeed in thyroid cancer. So you can see here quite a number of very supportive positive news for oncology franchise. Also a number of good developments across cardiovascular, renal, and metabolism as you can see on this slide, a number of submissions and importantly the approval of Lokelma in the US. In Respiratory, unfortunately Fasenra didn’t meet the primary endpoint in COPD and we’re working through where it’ll leave us and what are the next steps for Fasenra in that indication. We, of course, are still very excited about the potential in asthma, but in COPD we have to work out what are the next steps. And as you know, lanabecestat didn’t work in Alzheimer’s disease. We terminated the program. If you now move to Slide 8, the left-hand side graph actually shows you the trend over a few quarters and essentially this graph tells you what I’ve told you a few minutes ago is that the impact of the declining older products is progressively compensated by the launch of new products and so the negative sales growth has been declining all the way down to Q2 being almost flat. But we hope and we believe that it will continue to improve and the second half should see a growth picture and 2019 should definitely see a growth picture because the impact of declining old products will be very small by then. On the right-hand side you see the medicines that are impacting our sales. And the important message here is that there’s only – there’s not one or two products that are driving our growth but several, several that have been established for some time like Brilinta, Lynparza, Tagrisso, Imfinzi and have been established like Farxiga that can also be new in the next few months, if declared as positive, it would bring a new force behind Farxiga. So as you can see here it’s really an engine that is powered by multiple products and the only negative really is Crestor that hopefully we got out of by the end of this year in terms of the declining sales in Japan and Europe. If you look at Slide 9 now, you can see here the impact of each individual new products on our total growth. As I said earlier, we generated an additional $1 billion of additional sales for the first half and collectively these products grew by 69%. I’d just like to attract your attention to Tagrisso on the basis of Q2; we are getting close to a run rate, annual run rate of $2 billion. So not exactly $2 billion but not far and so it’s really a product that is growing very rapidly and has enormous potential moving forward as we roll out the first line indication and we get a reimbursement for it across the world including China we hope this product has tremendous potential. But Tagrisso is not the only product. Imfinzi, you’ll hear more often a little bit later. Imfinzi demonstrated pretty rapid launch trajectory and we’re very happy with the development of this product in the US marketplace and the other products also drove growth. So if you move to Slide 10, you got a summary here of our sales by franchise. Oncology grew by 40% for Q2, 37% for the half year, new CVRM 9% both for Q2 and the half year. Respiratory was flat for the half year but it grew by 7% in Q2 and this is linked to the fact that Pulmicort is growing and we’ve resolved the supply issue in China in particular. Symbicort is stabilizing and Fasenra is adding to the growth of the respiratory franchise and then all those, as we saw a minute ago clearly collapsing, declining 32% in Q2. Importantly again here China grew by 26% in Q2 and 24% year-to-date. You can talk more about China during the Q&A, but it’s suddenly a very nice performance and the team there is doing a fabulous job. Moving to Slide 11, I will now stop here and ask Dave from here and give you some highlights about the development of our oncology franchise.
Dave Fredrickson: Thank you, Pascal. I appreciate very much and it’s really a pleasure to be here today to talk about our new generation of medicines. I’ll start first an update on oncology and then Mark will come up and speak through CVRM respiratory and emerging markets afterwards. So if we could turn please to Slide 12. So as Pascal mentioned, in the first half sales in oncology were over $2.6 billion. For the half oncology was at a growth rate of 37% for the half and now represents 27% of total product sales. I think also what this graph depicts and really importantly in the second quarter for the first time we had greater contribution of new oncology to our sales than we did for our mature products and you can see that depicted by the colored graph versus the gray shaded on the right. The four new medicines, as Pascal spoke to, delivered about $0.7 billion or $700 million in additional sales versus the first half of 2017 and this really came from accelerated growth globally on Lynparza with a promising launch in Japan that I’ll mention too in a second. Tagrisso we saw sustained high growth across the globe and really a very encouraging start to our first line launch within the US. With Imfinzi we saw a near doubling in our sales in lung cancer and Calquence continues to progress solidly as we’ve seen, an increase in the BTKI-naïve patient utilization. I won’t talk much about Faslodex after this. But I do want to note that Faslodex continues to perform benefiting from the expanded label with novel combinations in breast cancer. If we turn to next slide, so on Lynparza what we saw were sales in the first half of $269 million and there was growth across all of the regions which you can see pretty clearly here on the slide. In the US sales were $149 million for the half and also we saw sequential growth coming as well. Growth came across both our ovarian cancer where we continue to see strength from the launch of the tablet formulation and our broad ovarian label but also emerging utilization and continued utilization within breast cancer. The majority of our uses in ovarian as I mentioned before and Lynparza continues to be in the United States the leading medicine in the PARP inhibitor class as measured by total prescription volumes. In Europe sales were about $87 million or up 36% versus the prior year. And again this reflects the strength that we have in increasing our testing rates, lengthening duration of therapy, and the broad label that we’ve got within ovarian cancer with the tablets. I alluded to it before but we’re very excited about what appears to be a promising start to a launch within Japan, already at $10 million in sales but I think that more importantly then the sales number of what we see is that we’ve opened up in Japan 85% of accounts we’ve done that with a very rapid pace in the market shaping work in order to establish the importance of BRCA and to establish the importance of PARP inhibition has been really quite impressive and I think that that’s created a pent-up demand so that when we launched, we launched with lots of enthusiasm. In terms of upcoming milestones, we look forward to the presentation of the highlight of the results of the SOLO-1 study, which we expect in the second half of this year and also in China a second-half regulatory decision in ovarian cancer which would be the first opportunity to bring Lynparza to China. With that if you could please turn to the next Slide 14. So as we move to our lung cancer portfolio, I’d like to talk about Tagrisso which is our number one medicine in our oncology portfolio. For the half we had $760 million in sales and really very importantly and I think impressively these are sales that come across 75 different countries worldwide in which we are approved, in which we’ve established a very good mechanism for driving testing and driving results across the globe. The US obviously the largest portion of that with $341 million in sales for the quarter, we saw for the half, excuse me, we saw strength in our second line business but of course it was the front line business and the growth that occurred there following the approval in April that is really I think the driver as we pivot towards first line. In the US, Tagrisso is now the market leader in the first line in terms of new patient starts in the first line EGFR-mutated setting. Europe demonstrated a strong half with growth of 63%. The quarter was softer and just to explain a bit of the dynamics behind that, volume growth was good in Europe for the quarter. It was offset by some price declines that were largely due to adjustments to access agreements and there are some retrospective aspects of that. We don’t expect that to carry through going forward, but it is something we experience within the quarter. Importantly within Japan which you’ll recall in last quarter had sequentially moved to stable or softening growth. Japan returned to growth in the second quarter, which we think is promising especially because that’s ahead of a front line approval within Japan, which we expect in the second half of the year and with the subsequent launch immediately afterwards as price has already been established. Within China worth noting that we expect a regulatory decision for next year. If we could turn the page to Slide 15 please, so now turning to Imfinzi, we are very pleased to see in the second quarter that the approval or following the approval for the Pacific indication in unresectable Stage III non-small cell lung that we really are at an inflection point in terms of sales. Sales for the half were $184 million, but importantly in the quarter it was $122 million. The vast majority of these sales are from the lung indication, a very, very small portion coming from bladder and we do see that roughly half of the Pacific eligible patients in this setting are getting immunotherapy and the majority of those are getting Imfinzi. I think if you take a look over on to the right where you can see on the underlying patient dynamics is that in June we neared 10,000 monthly infusions in the United States and that’s a near doubling from where we exited from the first quarter. So you can really see the good velocity within this business and that’s reflected too in growth in new starts as well as in total scripts. We did in the quarter see our first sales outside of the United States and we have additional approvals that have been obtained in Japan, Canada, Switzerland, India, and Brazil and we expect over 40 more countries to be approved as we move into the second half and as we saw with Tagrisso I think that’s the real opportunity to really even get an opportunity to see even further sustained growth. So as I turn into my last slide on 17 in the haematology franchise, I’d just like to reflect continued progress we’re making in haematology. It’s a platform that we’re building for years to come. Calquence continues to perform well with sales of $20 million in the half in our fast to market second line relapse for current mantle cell lymphoma indication. We have about a quarter now of new patients starting on Calquence within that indication within the market and we look forward to the chronic lymphocytic leukemia data readouts, which is really where the larger market opportunity is and those readouts we’re expecting in 2019. Finally Moxetumomab is our first potential antibody drug conjugate or ADC and we expect the regulatory decision in the third quarter for this very niche but also very high unmet need disease of hairy cell leukemia. So with that I bring a close to the oncology section and I will turn it over to Mark.
Mark Mallon: Thanks, Dave, for that exciting overview on oncology. I’m very pleased to be here again to talk to you about starting with new CVRM and our medicines in cardiovascular, renal, and metabolism. Sales were up by 9% despite the intense competition as Pascal highlighted with first half sales at $1.9 billion. Farxiga and Brilinta continued to remain strong with double-digit growth across all regions. And Brilinta, if we move Brilinta specifically first, delivered sales of $609 million with 18% growth in the half driven by volume growth in the US with sales up 20% and double-digit growth continuing across the regions with emerging markets up 17% and Europe up 14%. So we continue to be very pleased with the performance of Brilinta. Farxiga delivered sales of $639 million in the half with 36% growth in maintaining the market share leadership globally with the 41% volume share. Farxiga growth of 29% in the US exceeded the SGLT2 class growth. We are seeing some slowdown in the global class growth and we look forward to the declared readout in the second half of this year as the next major event for the brand and for the class. Ex-US, where we have 58% of our global sales for Farxiga, we have seen encouraging performances with volume driven growth increasing in Europe, which was up 28% and in emerging markets which was up impressive 59%. And in China despite not being listed on the national reimbursement drug list, we were pleased to deliver reimbursement in seven provinces and discussions are continuing in a number of other provinces. So very excited and encouraged by the launch of Farxiga in China. And finally turning back to the US, in the fast growing GLP-1 market, our auto injector Bydureon BCise continues to perform well returning the Bydureon franchise to growth with 5% growth in the quarter. And what’s exciting to see is roughly half the patients for Bydureon BCise are new to the GLP-1 class and about a third are coming from the Bydureon Pen as a switch. Now turning to Respiratory if we go to the next slide, as Pascal mentioned, growth was flat in the first half of the year versus 2017 with a very encouraging 7% growth in the second quarter. The performance was driven by moderation in the decline of Symbicort in the US, solid growth of our inhaled products in Japan and emerging markets and the strong launch of Fasenra, the first of our leading biologics portfolio in respiratory. So Symbicort product sales were down 10% with the reduction of the decline in the quarter which was down 8% mainly due to the US pricing pressure slightly moderating in our strong share performance within the ICS LABA class. US sales were down 21% with the quarter down 14% whilst Europe was down 8% in the half. And in emerging markets, as mentioned Symbicort exhibited continued growth up 10% in the half. Pulmicourt was up 6% with emerging markets, the driver of the growth up 15% and then 37% in the quarter. And the Pulmicort supply delayed that I mentioned in the first quarter that has been – in China that has been resolved as you can see from the sales results. So now I’d just like to take a moment more on Fasenra which we are very excited about. So Fasenra continued its very strong start with sales of $86 million in the half. The launch continues to perform in line with our expectations given its highly competitive profile and in the US and Japan, Fasenra is now the leading novel respiratory biologics in terms of new patient starts. US sales were $67 million. And Japan which launched during the quarter delivered a strong early uptake with $11 million dollars in sales. Europe sales were $8 million with the majority coming from Germany as we continue to roll out launches to other countries. Now the successful launch has been driven by the strong clinical profile of Fasenra and we continue to hear feedback from physicians on the positive impact Fasenra is having in patients even already. And the success has also been driven by excellent execution of our teams and an industry-leading support program to help physicians and patients get appropriate reimbursement for Fasenra. And finally we are working very hard to help improve the diagnosis of severe asthma and to make sure patients are referred to appropriate specialists to get the right treatment and to manage their disease. Less than one in 10, one in 10 asthma patients eligible for biologics therapy are actually receiving the treatment. This represents a huge opportunity to improve patient care and obviously it represents a really exciting opportunity for Fasenra to continue to grow. We look forward to, as I said, other countries coming on board throughout the year. Let’s move to Slide 20. And so wrapping up our growth platform is a deeper dive into emerging markets. Emerging markets continues to track in line with the long-term performance target, delivered 10% in the half, 10% growth. China delivered, it’s been mentioned a couple of times, strong performance again with 24% growth in the half and it benefited from the products that we added to the NRDL in 2017 and of course the very successful and ongoing launch of Tagrisso. And we continued to partner with physicians to develop centers of excellence to ensure better disease management in diabetes, chest pain, and lung cancer to name a few and this is leveraging again our concept of the leveraging the Internet of thing and creating really an ecosphere around these key diseases to make a big difference for patients and engage as many partners in helping to improve care. And outside of China we continued to see the impact from general economic conditions and divestments, which amounted to 7% to 8% of an impact on growth. The Russian headwinds did continue. As I mentioned in the last quarter business was impacted by both costs and budget pressures within the health care system and we did experience a manufacturing capacity constraint in the Middle East and Africa. However, strong performance of our main therapeutic areas in emerging markets continued with oncology up 37%, respiratory up 13%, and new CVRM up 32%. So in summary, a portfolio of several potential blockbusters with emerging markets, I think we clearly are continuing to demonstrate the commercial capabilities to make all of these opportunities major successes for the company and that we are absolutely doing the best we can to get these new medicines to all of the eligible patients that could benefit from them. And with that, now I’d love to have Marc come up at this point.
Marc Dunoyer: Thank you, Mark, and hello to everyone. I’m going to spend the next few minutes to walk you through our financial performance for the first half of the year as well as our unchanged guidance. So if you want to turn to Page 22, as usual I will start with the reported P&L before turning to the core numbers. Pascal mentioned earlier product sales declined by 2% for the half where the growing contribution for new medicine and strong emerging market were offset by the ongoing impact from the loss of liquidity [ph] for Crestor. The lower level of initial externals revenue in the half drove the decline in total externals revenue of 54%. I want to be clear that we remain focused on creating further external opportunities in the future. As we rapidly approach our return to growth, I’m pleased that we reduced restructuring cost in the half to $187 million from $496 million in the first half of last year. CapEx was also reduced to $486 million in the first half versus $549 for last year and anticipate declines in restructuring cost and capital expenditure for the full year. Please turn to Slide 23. Moving to the core P&L, our gross margin ratio for the first half fell as expected by three percentage points to 80% driven by the impact of positive manufacturing variances in the first half of last year, as well as the inclusion of the profit share for Merck. The rapid decline in the Crestor in Europe and Japan also had an impact. The core operating expenses increased by 2% with a 5% decline in core R&D cost outweighed by a 7% increase in core SG&A cost. Core other operating income declined by 27%, a result of the timing of a divestment for this year. Our core tax rate was 19% in line with the indication of a full-year core tax rate between 16% and 20%. Moving now to Slide 24, as you can see on this slide, it’s the lumpiness of the externalization revenues, but it’s also worth highlighting that we are – we have a growing contribution from the collaboration with Merck with $170 million of milestone payments received in the first half. We also wait $400 million later in the year as option payments. They will continue to be a regular stream of milestones per month for Merck over time, which will reduce the viability in the externalisation revenue. The key part of our strategy is to focus on more appropriate cash generating and value equity transaction and as I said we remain dedicated to creating further externalisation opportunities. We’re also committed to the continued manageable portfolio divestments into increasing the focus of our three majority [ph] areas at the time. Moving to Slide 25, as I mentioned earlier our core R&D cost declined by 5% despite maintaining a high level of activity we continue to deliver benefit from productivity initiative and efficiencies. Our investments in our business remain one of our capital allocation policies and I continue to anticipate the stable to low single-digit decline in core R&D cost for this year. Core SG&A cost increased by 7% reflecting investment in new medicine launches and increase of promotion resources in China. H1 2017, so one of the lowest level of our core SG&A spend in many years, comparison will ever become more favorable in the half of this year. Consequently I anticipate a low to mid single-digit percentage increase in core SG&A cost for the full year. We closely monitor our sales performance. And if we see that our investment continues to drive excellent results from our new medicine in our business in China, we are likely to be at the high end of that range. And I’d like to conclude with a reiteration of 2018 – I’m on Slide 27, I’d like to conclude with a reiteration of our 2018 guidance which is on product sales and core EPS at constant exchange rates. The product sales performance in the first half was in line with expectation and so I have no hesitation in keeping my guidance for low single digit product sales growth over the full year unchanged. I continue to anticipate the sum of the external revenue and other operating income will be less than that in 2017 and I want to reiterate my expectation of core EPS of $3.30 to $3.50. Finally, our capital allocation priorities remain unchanged given the first half performance, the success of our new medicine and a pipeline that is key to our return to growth. And with that, I will hand over to Sean.
Sean Bohen : All right. Thank you, Marc. I’ll now run through the late-stage pipeline events that we have had since the last results announcement and also highlights of recent data presentations of medical meetings. And as usual I will finish my presentation with a look-forward at our upcoming news flow. If you could please turn to Slide 28. So this summarizes an active movement in our oncology pipeline. We have had strong progress in our oncology portfolio through this quarter. More specifically Lynparza met its primary endpoint in the SOLO-1 trial showing a delay in disease progression or death when used as a first-line maintenance therapy for BRCA-mutated ovarian cancer. Also the tablet formulation of Lynparza was approved in Japan for BRCA-mutated breast cancer. Tagrisso received EU approval for first-line EGFR-mutated non-small cell lung cancer. Selumetinib, as Pascal mentioned, did not meet the primary endpoint in the thyroid cancer trial. Our ambition now with selumetinib is getting it approved in the unmet medical need of neurofibromatosis type one. Finally for news flow Imfinzi was approved in Japan for unresectable Stage III non-small cell lung cancer based on Pacific trial data. Furthermore at a planned interim analysis, the Pacific trial met its second primary endpoint of overall survival, which was both statistically significant and clinically meaningful and we plan to present this data at a forthcoming medical meeting. From the right-side of the slide, data from our innovative oncology portfolio was again on display at ASCO where we had 91 abstracts accepted including 14 oral presentations. Of those, seven were best of ASCO presentations. We presented data from Study 08, evaluating Lynparza in combination with abiraterone in metastatic castration resistant prostate cancer. The trial showed the potential of PARP inhibition beyond ovarian and metastatic breast cancers regardless of homologous recombination repair mutation status. We reported response rates and safety data for the immunotoxin moxetumomab pasudotox in relapsed refractory hairy cell leukemia patients from our 1053 trial. For selumetinib, we presented Phase II data from the Sprint trial evaluating the MEK inhibitor in pediatric patients with neurofibromatosis type one and plexiform neurofibromas. From our early-stage pipeline we presented data from packed Phase II trial of capivasertib a highly selective oral AKT inhibitor combined with Paclitaxel, the data showed positive impact of the combination on progression free survival and overall survival and previously untreated metastatic triple negative breast cancer. If we can go now to Slide 29, in CVRM last quarter we received US approval for Lokelma. For Farxiga, we made two regulatory submissions one in Japan for the treatment of type one diabetes, which is a potential new use of the medicine. The other was in the EU for Farxiga combined with Onglyza and metformin as a triple tablet for patients with type-2 diabetes. Also in type-2 diabetes we made a regulatory submission in the United States for Bydureon based on data from the EXSCEL cardiovascular outcomes trial and we received a positive CHMP opinion for Bydureon BCise, the auto injector. At the American Diabetes Association Conference last month, we shared new data on Farxiga in combination with Onglyza and on MEDI0382. MEDI0382 has a novel mechanism of action. It is based on a peptide release from the gut which targets both GLP-1 and glucagon receptors, which are in turn critical to controlling metabolic functions. In a Phase IIa study, the compound showed significantly improved glycaemic control and reduced body weight compared to placebo. Phase IIb is now underway with data expected in the first half of 2019. If you can go to Slide – to the next slide, Slide 30, on to the respiratory where we continued our momentum in building an innovative biologics portfolio, which truly is following the science, as Pascal mentioned, the launch of Fasenra in severe asthma, Pascal and Marc as well, the launch of Fasenra in severe asthma is off to a strong start. In COPD, Fasenra missed the primary endpoint in two separate Phase III trials in the quarter. In terms of lifecycle management, we are developing Fasenra for administration in the home and we have also begun a new Phase III trial OSTRO for its use in nasal polyposis. As presented previously, tezepelumab has demonstrated potential to be the best in disease asthma medication based on its Phase II efficacy trial as it reduces several key biomarkers including blood eosinophils, fractional exhaled nitric oxide or feno and immunoglobulin. As a reminder the Phase III program called pathfinder has begun with data anticipated after 2019. Next slide please. In addition to our innovative medicines we have also become a leader in precision medicine driven by a strategy of developing the best medicines for those patients most likely to benefit from them. Together with our partners we now have 22 diagnostic tests approved in the US, EU, and Japan, which supported more than $1.4 billion in precision medicine sales for the first half of 2018. The biomarkers detected in these tests include EGFR mutation, T790M mutation in EGFR, BRCA, and PDL-1 expression to name a few. We have several more tests for biomarkers in development and these include tumor mutational burden and homologous recombination repair gene mutations, which we will pair with our innovative medicines. Hence as a further result of our portfolio transformation, specialty care medicines now make up more than one quarter of our first half 2018 sales. Next slide please. This slide summarizes our upcoming news flow. For Lynparza we anticipate regulatory submission in the second half based on positive high level results from SOLO-1 for its first line ovarian cancer. Following the US approval for Lynparza in germ line BRCA mutated breast cancer at the start of the year. We received regulatory approval in Japan start of this month and expect a regulatory decision in the EU in the first half of next year. We anticipate a regulatory decision for Tagrisso in the first line setting in Japan in the second half of this year. Moving to immuno oncology we await an EU regulatory decision in the second half for the Pacific trial in unresectable Stage III non-small cell lung cancer. Also in lung cancer we expect overall survival data readouts for MYSTIC in the second half of this year and for NEPTUNE in the first half of 2019. In head and neck cancer, we expect data from the Kestrel first line and Eagle second line trials in the second half of this year. Our first time bladder cancer trial DANUBE will have a data readout in the second half of 2019. In CVRM data from the Phase III declared trial will be available later this year. We anticipate a regulatory decision for Bydureon’s auto injector in the EU by the end of the year. And as communicated by our partner FibroGen, we anticipate data readout for Roxadustat in the second half of this year and regulatory submission in the first half of 2019. In respiratory for COPD we anticipate a regulatory submission acceptance for PT10 and a submission in Japan and a decision from the EU for Bevespi by the end of this year. Finally we expect data from anifrolumab and lupus in the second half of 2018. With this, thank you for your – I want to thank everyone for your continued support and thank all of the hard working colleagues in AstraZeneca who come to work every day and make all of this progress happen and I will hand back to Pascal for closing comments.
Pascal Soriot : Thank you, Sean. So I’ll now move to the last slide, Slide 34 and just to save us a bit of time for Q&A I will not cover this slide. I just want to leave you with one message actually, which is what I said in introduction, the trial strategy is not delivering results and we are at this pivot point where the growth of our new products is accelerating and we’ll soon supersede the decline of the old products and these old products as you know today they represent 30% of our total sales and rapidly they were stabilized and then as of the second half but also importantly even more so next year we will see an accelerated growth of our top line. And I want to take this opportunity to thank our colleagues who are underworld. Many of them are actually listening to us and watching this event. We’ve rolled out a new technology that’s called Workplace that allows them to follow this presentation in real time. So I just want to say hello to all of them and thank them all for their hard work and their talent. Over the last few years they’ve delivered absolutely outstanding results. So I’ll stop here and open for the question-and-answer session. And if I may ask you, just ask a simple easy question, so we can impress our colleagues who are listening to us. Thank you. Andrew?
Q - Andrew Baum : It’s Andrew Baum from Citi. Two questions, first, the administration clearly sends proposal to the White House for amendments or elimination of the current rebate structure. Could you talk to your understanding? And I know there’s limited information that what you’re expecting in terms of, number one, our assumption is this is limited to federal-sponsored plans whether that’s consistent with your understanding? Second, the timing, and then finally the risk that this spreads to commercial plans because general counsels of PBM is feeling comfortable running a separate structure, if there is an enforced amendment under the Medicare?
Pascal Soriot : Okay. Marc, do you want to cover this question?
Mark Mallon : Yes. Your understanding I think actually is pretty good. I don’t think we can add much to it based on what we know. I mean really there’s a lot of uncertainty and not too much information. It doesn’t appear likely to be focused on federal plans, but it will – it’s a massive change even in that scope and so it’s – I think it’s pretty hard to predict right now. Our company is supportive of working with any of the players including the administration in the health care system in the US to find ways to address the concerns that people have around out-of-pocket cost. And if there is a way that this could help, then we want to engage and to try to make it a success, but we need to hear it. There’s risks associated with it as well. So I don’t have really a lot to add to this. I don’t know, Pascal, if you want any other point?
Sean Bohen : The only thing we can add to this is that if we were able to remove those rebates, suddenly it would create challenges, but in the long term it would be a good thing for most of the industry really, because those create incentives that are not necessarily good for anybody in the long-term. We would see what comes out. The ideas that are generated they tend to change almost on a weekly basis. We would see what is already implemented.
James Gordon: Thanks. James Gordon from J.P. Morgan. The question was just on Lokelma and so you got the US approval I think on launching, maybe not launching it to next year, just what are the different factors there in terms of continued manufacturing issues versus was the label as good as you hope for the products or is it partly about consideration in terms of building nephrology sales force where you don’t yet know where the Roxadustat has been successful and does it partly reflect that some uncertainty around the chances of success for Roxadustat?
Dave Fredrickson: No uncertainties about the manufacturing. Label was in line with our expectations and we remain very excited about that. We’ve got teams in place and we’re starting to lay the ground works. The decision to launching that in 2019 is all about market preparation. And I think if you’ve observed other specialty launches in the US, making sure that you’ve got market access to a reasonable level is crucial and that takes some time. So we’re doing that. I think this is potentially a transformative treatment for hyperkalemia, so and even physicians’ understanding of the importance of hyperkalemia is there’s a lot of education that needs to be done. So we’re laying the groundwork both from an access and from a science standpoint. We’re very excited about the product. The label is good. We have no manufacturing. Everything is going to be full green light in 2019.
Sean Bohen: The market has changed, James, in the US as you know and getting a good access or a minimum level of access by the time you totally stop promotion is key because otherwise you’re really struggling quite a lot and you’ve seen many other products have waited a few months before launching to get to a reasonable access and that’s exactly what we’re doing. But the product should do well. I mean there’s a big unmet need. It’s a great product on your question of launching when we have sufficient access.
James Gordon: Thank you.
Richard Parkes: Yeah, I’m Richard Parkes from Deutsche Bank. I’ve just got a couple of questions. Firstly on Imfinzi, so you’ve just had an incredible launch in the Stage III lung cancer setting and none of your competition is currently in Phase III studies, but there was a single on trial of Keytruda at ASCO which is still broadly similar efficacy and safety. So I’m just wondering what you think the probability that Keytruda could have NCCN compendia listing based on that data and whether that would likely have any impact on Imfinzi using that setting and that’s the first question. The second one is just a quick one. Gross margins are a sequential improvement in the second quarter. So I just wondered how that is likely to evolve throughout the rest of the year as the new products start to take greater proportion of revenues. 
Pascal Soriot: Okay. Dave or Sean do you want to cover the first one. 
Dave Fredrickson: Absolutely, as I had mentioned the Imfinzi uptake has been really quite strong and I think that it is important to note within that that as I said before we’ve got about half of post CRT being treated with an immunotherapy and we do see that really the vast majority of that is within Imfinzi, meaning that we’re not seeing a lot of other PDX in that particular setting right now and your question about the data at ASCO, your speculation on NCCN will be every bit as good as mine. What I would say is that I think that single arm studies don’t often meet the evidence level that is required for two way, which is what is required in order for that to actually translate into public reimbursement within the US. It doesn’t mean that that won’t be how and NCCN chooses, but that’s at least my experience with it. 
Pascal Soriot: Dave’s exactly right in the saying that we’re talking about here now, we have NCCN listing based on single arm studies. But that’s the only agent in the study, okay. So you know that whatever effect you’re seeing is attributable to that. That’s not the case in this disease setting, those patients are chemo radiation therapy all of them, so they’re getting an active agent and without a control arm you can say it looks rather like ours, but you really can’t say how it would have competed against the standard of care and I think in that setting what Dave said is really true, it’s hard to get a level of evidence.
Marc Dunoyer: In terms of gross margin I think if you look at the year-to-date gross margin this would be a good indication for the gross margin for the overall 2018. So the slight improvement that we experienced in the second quarter may not be lasting until the end of the year, so we remain on the conservative side and use the year-to -date gross margin.
Pascal Soriot: If I can take one minute, I’ll take a question online and then return to you if that’s okay. There’s a question from Simon Baker at Exane. Simon do you want to go ahead? So sounds like we have a technology challenge with the phone line. How about you ask your question, carry on.
Unidentified Analyst: [indiscernible] Two questions please one for Sean and one for Mark. Sean from your perspective based on your interactions with thought leaders what do you think recksyodostate needs to show, but is non inferiority good enough or do you need to show superiority from a commercial perspective that’s one? And Mark could you just remind us what cash flows from operations were for the first half of the year? Would you expect them to be for the full year and what the spring factor within the two halves are likely to be? Thank you.
Pascal Soriot: Yeah, okay. Yeah, so with regards recksyodostate, I think first of all it’s important to recognize that probably what we need to show is different in the two different settings that we’re looking at it. So in the dialysis setting where yes, say are the standard of care and have established and with a black box warning cardiovascular safety risk. And the opportunity there is to show superiority from the standpoint of not caring that risk so you will treat them without incurring risk of potentially catastrophic events. I think what remains to be explored is if you get similar safety in the trials you’d still do have an oral agent and then you would look at what is your efficacy in terms of raising and treating anemia. It’s different in the in the pre-dialysis, non dialysis dependent chronic kidney disease because your comparative there is placebo. So you can’t – it’s very likely you can have less cardiovascular risk than no treatment. So there what you’re looking at is non inferiority versus forcebo from a safety standpoint but by virtue of being not an injectable or an oral starting to extend treatment for anemia at the patients who are in the intensive health care setting.
Marc Dunoyer: So in terms of cash generation, we have a general pattern where the first half of the year, we do not for the time being produce large free cash flows. However, this increases over the second half of the year. This is further compounded by the external revenues or other income, generation of other income that could happen at any time, but as I’ve told you earlier on, on 2018 this will be more stronger in the second half than in the first half. So we have a general pattern and then I think 2016 and 2017 would be quite useful for predictions and then you need to compound it with the projection for the standardization and other income in 2018. I think these two sets of predictions have to be made.
Unidentified Analyst: So what do you expect full year cash flow from operations to be?
Marc Dunoyer: Well, I’m not going to give you the exact number, but it will be a number that’s not very far from 2017.
Unidentified Analyst: Jeff Franklyn from Libon [ph], question on Fasenra, I mean obviously the – I think that stands out this quarter, so quite incredible performance and you called out the factors kind of the profile and the execution. I’m wondering if you can just split those out and how much do you think this is done to the profile of the medicine and how much do you think this is down to execution. 
Pascal Soriot: I think it’s both, I mean and I think again it is the appropriate time to recognize the US team they’ve done absolutely a fabulous job. A lot of them actually joined us for this launch. They came from other companies with a lot of experience in biologics. We have a tremendous leader managing – leading this team. They’ve done a tremendous job on all fronts, from access to commercial activity to marketing to sales. And the second aspect is the product as Mark told you. And I think one of the key aspects of the product is the speed of action because patients experience a benefit very rapidly and they come back to physicians and they relate their positive experience to physicians, which is a positive feedback loop to the prescriber to use the product. Mark, anything else you want to add.
Mark Mallon: Just a couple of points because the answer for me would be both, it’s hard to separate out. I think the – you have to start with the profile and what’s important is that we’re seeing very similar upticks of Fasenra in Japan, in Germany basically as we launch, extremely rapid uptick and very positive feedback from patients because they’re feeling an effect the benefit on the first dose, which is not always been the case with biologics in asthma, so very exciting profile that’s clearly sort of fundamental. The other thing that I would add is that we’ve been able to leverage our experience in managing and helping physicians, patients manage the reimbursement challenge of specialty medicines and getting through prior authorizations, creating the documentation, we have something called Access 360, which is a group that’s an in-house capability that we built first for synergies and then for the oncology launches and it really is best in class capability. The team that works there also needs a huge congratulation and what they’ve been able to do is very significantly reduce the time it takes between when the prescription is written and when the patient can get reimbursement, be confident that they will be able to not just have the first dose but actually be able to use them at the medicine and I think all of those factors come together have a really allowed for very rapid uptick.
Pascal Soriot: Yeah, I mean the German team and the Japanese team have done a fantastic job absolutely stellar launched in all the countries where we’ve launched. I think it’s important because I remember a year ago or a few months back people were saying, okay, well it’s great to have a pipeline now but do you have the commercial strength to launch those products and I think we can say absolutely yes. We do have that and you look at Tagrisso, you look at Imfinzi, you look at Fasenra and all the other products and they’re all doing quite well, so our commercial organization is very strong.
Pascal Soriot: I interrupt here, maybe James you wanted to ask a follow up question.
James Gordon: Yeah, [indiscernible] 
Mark Mallon: I mean what the physicians are talking about is what the patients tell them and the things that are coming back, being able to sleep again, being able to get back with activity. I mean a severe asthma patient his life is very debilitated, right. They’re not able to do any activities of challenge at times and they just feel better. And one of the things we’re doing is actually we’re trying to do some research to really capture the – how it’s impacting patients and we’ve got to plan some additional studies to try to explore that from a scientific perspective because it seems like the impact is really strong. 
Pascal Soriot: Yeah, absolutely, I mean the people tend to see asthma as a minor disease, but severe asthma is really debilitating and we have so many of those stories of patients coming back and saying look I haven’t been sleeping for 10 years, I haven’t been able to function properly and two days drug and I sleep, I sleep the whole night. And sometimes people come up and they’re quite emotional about the experience they’re going through because their life – they have their life back. Unfortunately it doesn’t work in every single patient who’s treated as you would imagine, but some of those – many of those patients experience really transformative benefits and the speed at which those benefits come because obvious – it’s really striking and I think that’s really what the physicians are hearing. 
Mark Mallon: I think the other thing we should also highlight and again its credit to the clinical teams, the medical service teams and the marketing and sales teams. We’ve been very clear about the type of patient that is going to benefit from it. It’s a big portion of patients, but know this is for a eosinophilic disease, we’ve got some very clear indicators about patients that will be benefit from that and that’s where we’re really encouraging physicians to focus on. And so one thing that also has happened, I think in almost every case that first patient that they tried they saw a positive result. This is certainly true with the US, but I think everywhere. If you are using inexpensive, a little bit out of the ordinary biologic and that first patient you try it doesn’t work that’s a real impediment for sort of future prescription. And so the teams have done a great job of helping physicians really find the right patients early, so that they understand the benefits of it and then they can continue to look for the right patients.
Pascal Soriot: Sounds like we have resolved the technology issue, so let’s go back to Simon Baker from Exane, Simon can you ask your question.
Simon Baker: Yes, can you hear me now? 
Pascal Soriot: Yes, go ahead.
Simon Baker: Perfect, thank you for bearing with me, I’m – continuation on that on Fasenra, as we just said – the previous question said, the Q2 performance was considerably more impressive than we were expecting. So I know it’s still early days, but could you talk about how the trajectory of this launch is going versus your expectations. I notice that consensus, expectations even by 2023 is still sort sub block buster status. How does that qualitatively compare with what you expect and related to that how has this informed your expectations and plans for tezepelumab down the line? Thanks so much. 
Pascal Soriot: Mark, do you want to call this. If you ask a question about expectations you’re going to get different responses from different people even in the company. You had great videos and people will be more conservative as you would expect. Mark, do you want to cover this. 
Mark Mallon: Well I think, as I said in opening, the way to phrase it is it’s in line with our high expectations that we had for it and in some at least from my perspective. We had higher expectations, we knew it was a great clinical profile, we knew the teams are ready, but they’re doing that and something more. And we’ll get into discussions because we’re coming up to the planning cycle and Pascal will be setting targets for us and my colleagues won’t be happy if I make that more challenging than it needs to be. But it’s really a great kickoff and we expected it, but it’s a meeting that in more. In terms of tezepelumab, I mean the science and the data that we’ve seen so far as I said, that we should really move as fast as we can and as comprehensively as we can to understand what this medicine can mean for asthma patients. And this only confirms that the right medicine can make a huge difference. And as I said before you’ve got to really focus on the right patients and so there are a number of patients that are going to benefit from Fasenra and what we’ve seen with tezepelumab being upstream the potential that it could benefit many more patients as we should be moving as fast as we can and certainly doing the right science. And so that’s what’s happening, the studies are up and running and there’s a very high degree of excitement within the respiratory community around tezepelumab. 
Pascal Soriot: We have another question, a question online from Emmanuel Papadakis at Barclays. Emmanuel, do you want to ask your question?
Emmanuel Papadakis: Certainly sir, thank you for taking the question. Maybe you can take one for Dave Imfinzi, you talked previously at the end of Q1 around half of unreceiptable patients getting concurrency I’d say. The question I was going to ask is is that number moving at all before you start to think about the half of those then getting an IO agent such as Imfinzi. And then the second question I was going to take if you if you would allow me was for – I didn’t know if it’s better for Mark or Sean, but it was on the declared study your expectations about that potentially achieving a primary prevention indication as well as the second dimension the best major Duaklir space already has, we will be very interested to hear your thoughts on that? Thank you.
Pascal Soriot: Dave, do you want to call the Imfinzi one and Sean the Duaklir?
Dave Fredrickson: So thank you Emmanuel for the question. Our efforts since launch have really focused in on driving in Imfinzi use among those physicians who have already begun concurrent CRT as their standard treatment for Stage III patients. We have begun also though to see some growth in the use of cuncommenent CRT within the United States. It grows more slowly and it’s something that we will move to put more effort behind, but right now we are really staying focused on making sure that for that on label population where we see that the greatest opportunity is to have physicians add Imfinzi on to what already is their treatment that they’re using for curative intent which is CRT.
Sean Bohen: Yeah, the question Duaklir, thank you for the question. So I guess I have a couple of components there. You asked specifically about primary prevention patients, so Duaklir has 1,700 patients trailing and actually the majority of those patients have not had a previous cardiovascular event about ten thousand they would be primary prevention the remaining patients are the secondary prevention. As we said the place where this is already been demonstrated with an SGLT2 inhibitor. With regard to the primary prevention actually the endpoint itself is all of the patients together, so it’ll be the patients in totality, so for the trial to be positive it has to be everyone and it is our hope that if that’s the case that the – that an indication would reflect the trial that was done. So I think that’s the answer to that question. You asked a little bit about confidence, I mean I think both the secondary prevention established data and then other are real world evidence work I would say with looking at as SGLT2 inhibition in practice heavily – fairly heavily enriched in some populations for patients receiving Farxiga also supports the idea that SGLT2 inhibitors in general and for CN in particular is quite potent for helping to reduce cardiovascular risk particularly related to heart failure.
Unidentified Analyst: So just a follow up on Fasenra. So my assumption is that GSK at the start using external medical KOLs to market the drug country to their existing strategy. Given where that position is and given it’s difficult to re-launch a product, is that something that concerns you from a competitive point of view and if that isn’t a concern because it’s too late then what do you think the risk of your competitor prying the pricing card given the density of competitors in this space and given the PBM market?
Mark Mallon: So let me make a couple comments and certainly others, Pascal jump in here. So I can’t comment on sort of what GSK’s practice is and how they might change or evolve. We remain very confident in the future prospects for Fasenra based on as we’ve been talking about the profile of the product and the capabilities of the team and their – we’ve got ambitious lifecycle management plan and also additional Phase IVstudies to continue to build in the profile of the product and I think we’re going to continue to build our capabilities in the US and around the world. In terms of what options they might do to improve the competitiveness of them, the things you’ve highlighted are potential levers. I think we don’t feel – the success that we’re having, we don’t feel that – we feel the price that we have for Fasenra is in line with the value and the differentiation and so we’re going to keep focusing on the levers that I think really will make a difference for the patients and for the performance of the brand. You think about the – what the potential for Fasenra is and what’s the most important factor thanks to the thing I mentioned at the end of the section. Less than one in ten severe asthma patients that are eligible for biologics actually get a biologic and we certainly see the potential for this class of biologics to get over 30% of severe asthma patients or more. And so as we continue to move on, we’ll continue to emphasize the profile of the product, but we’re going to be – and we’re already upping our efforts on to really helping reach those patients in the US through consumer advertising, through major medical education programs to really reach those patients and get them treated. That’s the biggest opportunity for Fasenra. I think we’ve got a product that will sustain its leadership in the IL-5 category. But what will really determine the potential is how good a job we get to the patients today that should have access to biologic but aren’t having it. 
Pascal Soriot: I would only add two comments actually on voice, number one if you’re in diabetes market, anti diabetic agent can be differentiated, but for the patient it just reduces glucose, so they don’t really necessarily feel the difference. Yeah, if you have a differentiated agent because it works faster and you have a stronger depletion of eosinophil, the patient feels better, the patient really experience the difference. So when you have more differentiation the price leverage is out there to play, but also the second point is more technical is in part B, as long as you’re on part B price prodigies don’t really short live. As you know six months your price is reset down and so basically you don’t get much out of a price reduction. You get a bit of an advantage for six months on top of it and you have to make sure – I mean you have to make sure, you theoretically should make sure your customer know about the price difference. In fact you can’t even – you can’t do it of course, it’s not compliant and you complemented, so your benefit is limited and then it’s short lived. So I think the price portion is part B. There may be some, but for the reasons I’ve described this should be limited.
Unidentified Analyst: What’s difference between part B and part D on Fasenra?
Pascal Soriot: Now, when you move part B, that’s a different story, we’re in part B, but if you have a – if you move to part D because you have different administration, say home administration or whatever, then at that point of course the part D mechanisms can put more pressure on price. But in part B it’s really hard, I mean it’s possible, but it’s more limited. Let me take two questions online here, one from Jo Walton at Credit Suisse and Jo, do you want to go ahead?
Jo Walton: Two quick ones, one I’m afraid again on Fasenra, it’s coming back to something that you just mentioned. You are looking for home administration and I wondered how important you felt getting home administration at some point in the future would be to unlocking some of that one in ten or moving from the one in ten with biologics to a much higher number? And the second one was on China and Pulmicort, you’ve managed to solve the supply constraints you had an extraordinarily strong 2Q, how much of that was refilling the pipeline and how much of that is indication of underlying demand going forward? Thank you. 
Pascal Soriot: I don’t know that we have the answer to your second question maybe Mark Mallon can give you some insights here, but I mean I guess a simpler way to look at it would be to say look at the first half because it’s sort of normalized across the two quarters. But Mark if you want – if you have anything more on Pulmicort and also if you want to cover the first question. 
Mark Mallon : No, I think looking at the first half in total, it’s probably the right way to go for Pulmicort in China and then in terms of the home or self administration as a life cycle plan it’s – I think it could be another tool in helping expand the class, expand capacity. The severe asthma centers are limited in many countries and so how many patients they can actually see. So and there – I think both will be continue to be important, some physicians or patients will prefer to continue to have been in office administration, others would prefer for in home administration, so it will meet the needs and so we’re definitely pursuing it aggressively and I think it can play a role and it’s getting to more patients. 
Pascal Soriot: Thanks, Mark. One thing we kind of don’t mention maybe enough is, as a reminder Fasenra is an injection every two months. So that is a reasonable pace or reason if you will for the patient to go back to their physician. They don’t have mild to moderate asthma, they have severe asthma. Seeing a physician every couple of months for an injection is not necessarily a bad thing for the patient. So the benefit home administration is there, but it’s not as strong when you have a product like Fasenra. So we’ll take the last question, Sachin Jain at Bank of America. Go ahead Sachin.
Sachin Jain : Thanks for fitting me on the call. Just two quick ones, you framed in your section has slowdown SGLT2 market, IMX8 is down sort of 5% volume growth from mid teens, maybe just provide your perspective on reasons for that. I guess it’s a little bit surprising given the cardiovascular data that’s out for the space. And then secondly on roxa for Mark and sort of following from the prior question, which of the two opportunities pre-dialysis versus dialysis are you most excited by and you think you could penetrate the quickest if the data came through and it’s a base case of monitoring by scenarios. Thank you.
Mark Mallon: So I’ll take the second question first, actually. I’m excited about both opportunities. It’s hard to say which one and I think in terms of penetration. I think we deliver on target product profile for the dialysis, I mean this is a – potentially a transformative opportunity. Again if we hit the profile, you got the elimination of the concerns around the cardiovascular risk, you’ve got an oral therapy, one from the studies that we’ve already seen in China on hemoglobin control, works in a full range of patients not impacted by things like information, not having to do with iron, it’s really a benefit for patients in a dialysis setting. Of course we have to go through that market, access discussions and we’ve started that work, but I think the uptick could be there very rapidly. But in the NDD there will probably be slower bill because we have to create that market, but again if it hits the target profile, I mean the benefits can be – are going to be very significant for patients, right and I think living with anemia for many years has a number of negative consequences. And so we’ll have to educate and create that market, but that will take time, but it’s a chance to impact a huge number of patients in Stage III and Stage IV renal diseases. In terms of the SGLT2 class, I think the short answer is that because we’ve had some side effects like the decay, like with one of the competitors where they’ve been some reports of amputation, there was a labeling change. That makes it – and SGLT2 is not in easy and primary care physician’s minds and not a specialist mind, not quite as easy to use as something like a DPB4 which is an excellent medicine for treating, managing glucose. And so we still have a lot of work to do to making sure that they really understand the benefit and as Sean was saying, right, the initial studies was in a pretty limited group of patients with pretty significant CV risk and so for primary care physician it’s a little bit of a question to really see those patients and so the combination of the two I think of have been a factor in the growth. This is I would say primarily mostly in the US and a few other countries, many countries actually class growth is I should have probably clarified this, this is good. And I think really Duaklir if it reads up positively, it will help to address on all of those fronts because it will strengthen the cardiovascular benefit profile and if it reconfirms the safety and tolerability profile of Farxiga, I think it will also help in terms of physicians feeling confident, so I think we can actually improve the overall risk benefit kind of working both sides of that.
Pascal Soriot: Duaklir is key because of the cardiovascular events, but also because of the safety database that will come with it and if we get behind – if the study is positive and we get behind it, we certainly can’t evolve the class that has enormous potential. 